Operator: Welcome to Devon Energy's Second Quarter 2012 Earnings Conference Call. [Operator Instructions] This call is being recorded. At this time, I'd like to turn the conference over to Mr. Vince White, Senior Vice President of Communications and Investor Relations. Sir, you may begin.
Vincent W. White: Thank you, operator, and welcome, everybody, to today's second quarter 2012 earnings call and webcast. Today's call will follow our usual format. I'll provide a few preliminary items and then turn the call over to our President and CEO, John Richels for his review. Then Dave Hager, Head of Exploration and Production, will provide the operations update. And following that, our Chief Financial Officer, Jeff Agosta, will finish up with a review of our financial results and outlook. After Jeff's call, we'll have a Q&A session. And our Executive Chairman, Larry Nichols, as well as Darryl Smette, Head of Marketing and Midstream are with us today to help out with the Q&A session. As usual, we'll conclude the call after an hour, so if we do not get to your questions during the Q&A, we'll be around for the remainder of the day to answer your questions. A replay of this call will also be available later today on our website. During the call today, we're going to update some of our forward-looking estimates based on the actual results that we've seen in the first half of the year and our revised outlook for the second half of 2012. In addition to the updates that we're providing during the call, we will file an 8-K later today containing the details of our updated 2012 estimates. To access this guidance, just click on the guidance link found in the Investor Relations section of the Devon website. Please note that all references today to our plans, forecast, expectations and estimates are forward-looking statements under U.S. securities law. And while we always strive to give you the very best information possible, there are numerous factors that could cause our actual results to differ from those estimates. A discussion of risk factors relating to these estimates can be found in the 8-K that we are filing later today. Also, in today's call, we'll reference certain non-GAAP performance measures. When we use these measures, we're required to provide related disclosures and those are also available on the Devon website. Looking briefly at our earnings for the quarter, the First Call mean estimate for Devon's second quarter earnings was $0.81 per share. That compares to actual non-GAAP earnings from continuing operations of $0.55 per share. So clearly, we had a big earnings miss for the second quarter. By far, the largest driver of the miss was wider product price differentials. These low price realizations also negatively impacted our midstream earnings. And to a much lesser degree, our results were negatively impacted by production interruptions that reduced our second quarter production by 16,000 barrels per day, average, for the full quarter. The most significant occurrence was a longer-than-expected partial shutdown for maintenance and repairs at our Bridgeport facility in north Texas. That work has now been completed. This reduced our NGLs production by approximately 10,000 barrels per day in the quarter, while disruptions at third-party facilities in the Permian Basin, Mid-Continent and Gulf Coast regions contributed to the reduced volumes as well. As of today, all of the issues that interrupted production have been resolved. At this point, I'll turn the call over to John Richels.
John Richels: Thank you, Vince, and good morning, everyone. While our second quarter earnings fell short of our expectations, when you look beyond the near-term challenges, we stayed right on track with the execution of our long-term strategic plan. We continued to deliver strong growth in oil production, driving company-wide oil production up 26% over the year-ago period and up 5% over the first quarter of the year. In spite of unusually weak Canadian oil price realizations, oil revenue accounted for almost 60% of our upstream revenues in the second quarter. Given the weakness in the NGLs market, it's worth noting that ethane accounted for only about 4% of our second quarter sales. In April, we closed our $2.5 billion joint venture agreement with Sinopec. You might recall that the transaction price included a $900 million cash payment at closing, recovering significantly more than 100% of our land and exploration costs associated with these assets. The remaining $1.6 billion drilling carry will fund 80% of the capital requirements on the joint venture assets over the next few years. Also, in spite of weak second quarter price realizations for much of our production, operating cash flow for the quarter exceeded $1.4 billion and when you combine that with the proceeds from our Sinopec joint venture, total cash inflows approached $2.3 billion. Additionally, we added some attractive hedges, which will stabilize cash flows in the second half of the year. We now have approximately 85% of our oil production locked in, with an average protected floor of $97 per barrel and 65% of our natural gas production protected at $3.76 per Mcf. And finally, we executed a robust oil-focused capital program, while maintaining one of the strongest balance sheets and best liquidity positions in the peer group. We exited the quarter with $7 billion of cash and short-term investments and a net debt-to-cap ratio of about 14%. As many of you are already aware, we also have some exciting news on the exploration front. Earlier this morning, we announced a $1.4 billion agreement with Sumitomo to explore and develop our 650,000 net acre position in the Cline and the Midland Wolfcamp shale plays. Sumitomo will invest $340 million in cash at closing and receive a 30% interest in these properties. Additionally, Sumitomo will fund a little over $1 billion, it's actually $1.025 billion of Devon's share of future drilling costs associated with these plays. This agreement will materially enhance our future returns and accelerate our evaluation and development of these assets, while leaving us with a land position approaching 0.5 million acres that represents a very significant growth opportunity for Devon. And finally, like our joint venture with Sinopec, this partnership affords us the flexibility to invest more of our operating cash flow in our development opportunities and to pursue additional oil prospects already identified by our technical staff. For years, we've enjoyed a strong working relationship with Sumitomo. Sumitomo is really a terrific company and we look forward to working together for years to come through this mutually beneficial joint venture. And speaking of additional oil prospects, during our Analyst Day in April, we mentioned that we were working to put together a significant leasehold position in an oil prospect that we were not yet ready to disclose. Today, with that acreage position largely assembled, it's now ripe for disclosure. It's in a play that's received a lot of attention lately with some very encouraging results. We've acquired an additional 400,000 net acres in the Mississippian trend outside of the area that's covered by our Sinopec joint venture. When you combine our position and the Sinopec JV with this new position, we now have over 545,000 net acres in this emerging oil play. So just to reiterate, this 400,000 net acre position that we're announcing today is not currently part of any joint venture. So between the Cline Shale position in the Midland Basin and our position in the Mississippian play, we have about a million acres net to Devon in 2 oil plays that appear to be working very, very well. We believe that this gives us years of oil growth beyond the light oil development projects that are currently driving our oil growth in the United States. Shifting gears now, we've received a number of questions recently regarding the current state of the market for natural gas liquids and whether this will impact our capital allocation. Since last quarter's call, market conditions for natural gas liquids have deteriorated further. Inventory builds over the last 3 months far exceeded industry expectations. This was due to a variety of factors. There were delays in petrochemical plant turnarounds, we had extended downtime at 2 Mont Belvieu Fractionation facilities and we had a delay in the ramp-up of a petrochemical plant that's expanding its ability to run on ethane. Given these higher inventory levels and new NGL supplies being brought onto the market, our outlook for NGL realizations has deteriorated somewhat since our last quarterly call and Jeff is going to provide some detailed guidance later in the call about those realizations. Looking beyond 2012, with new takeaway pipelines and fractionation capacity coming online, ethane supply in the market will likely outpace incremental demand until new cracker additions are operational around mid-decade. Since ethane prices track natural gas prices, as long as the natural gas prices remain low, we'd expect ethane prices to also be weak during this period. However, as natural gas prices improve, so should ethane prices. In addition, as new export capacity along the Gulf for propane becomes available later on this year, we expect to see our overall NGLs price realization stabilize. In any case, our firm transportation agreements and our dedicated fractionation capacity at Mont Belvieu will maximize the value of our NGLs production. Based upon our evolving outlook for price realizations for natural gas and NGLs, our liquids-rich Barnett and Cana programs continue to deliver attractive returns. Of course, in the current pricing environment, most light oil projects are delivering superior returns. And our light oil programs in the Permian and the Mississippian are developing now to the point where we're ready to begin increasing activity levels. We have migrated several rigs to these higher return light oil opportunities and plan to move additional rigs in the second half. For the full year 2012, we expect to deliver oil production growth in excess of 20% shifting our overall production mix to 40% liquids by year end. We remain on target to meet our guidance of 253 million to 257 million barrels equivalent of production, although we're trending towards the low end of this range due to the gas processing curtailments experienced in the second quarter that Vince discussed earlier in the call. Looking beyond the current year's activity, we are in the beginning stages of planning for our 2013 capital budget, and while it's a bit premature to provide much in the way of guidance, I can assure you that we will remain focused on maximizing growth and cash flow per share, adjusted for debt. We're fortunate that our existing resource base provides us the flexibility to shift additional capital towards light oil opportunities. Our existing acreage base comprises some 5 billion barrels of risked oil resource, representing many years of high quality undrilled inventory. In addition, we're leveraging our portfolio through joint ventures to allow us to accelerate that growth. So in summary, we remain excited about Devon's future and believe that we're well positioned to compete effectively in any business environment. Our measured approach to the business, strong balance sheet and high quality property base all position us to deliver on our long-term business plan. And so with that, I will turn the call over to Dave Hager for a more detailed review of our quarterly operating highlights. Dave?
David A. Hager: Thanks, John, and good morning, everyone. While the second quarter production was impacted by the gas processing disruptions that Vince and John mentioned, we continue to make good progress with the execution of our capital program. We delivered strong oil production growth in both the Permian and Jackfish. We also had encouraging initial well results in some of the new ventures' plays. Before we get to the highlights of the quarter, I'll begin with a quick recap of CapEx. E&P spending totaled $2.1 billion for the quarter, bringing E&P capital for the first 6 months to $3.7 billion. Our 2012 capital program is front-end loaded, especially for leasehold expenditures. But in any case, we are tracking toward the higher end of our previous guidance range of $6.1 billion to $6.5 billion. As a reminder, when we close the Sumitomo transaction, we will have received a total of $1.2 billion in cash this year that is not netted against this capital for reporting purposes. Moving now to specific operating areas, starting in the Permian Basin. Our Permian production averaged a record 58,700 barrels of oil equivalent per day in the second quarter, up 21% over the second quarter of 2011. Looking specifically at our Permian oil production, it grew 24% over the same period, with light oil now accounting for nearly 60% of our total Permian volumes. A key driver of our Permian oil growth continues to be our Bone Springs horizontal program in New Mexico. We have 6 rigs running and in the second quarter, we brought 19 Bone Springs wells online, with average 30-day IP rates of 680 barrels of oil equivalent per day. With these wells generating returns north of 50%, they offer some of the highest returning opportunities in our portfolio. To date, we have identified roughly 300 risk locations in play, representing several years of additional growing inventory. Also, in the Permian, we continue to have very good results from our 2-rig program targeting the Delaware formation. We brought 8 wells online during the second quarter. Of particular note was the Shaqtus 1H that had a 30-day IP rate of 1,500 barrels of oil equivalent per day, including 1,263 barrels of oil. Like the Bone Springs, this play offers outstanding returns. We have approximately 200 risk locations remaining in the Delaware. Last quarter, we told you about a successful Wolfcamp horizontal well we drilled in the heart of our Wolfberry acreage located some 80 miles northwest of the Wolfcamp play in the southern Midland Basin. The [indiscernible] 17H had a 30-day IP rate of 400 barrels of oil equivalent per day. In the second quarter, we drilled an encouraging follow-up to this well. After 12 days of production, Natatia [ph] 49H is producing roughly 325 barrels of oil equivalent per day, including 280 barrels of oil. These encouraging results were giving us the confidence to take the horizontal Wolfcamp play on our Wolfberry acreage into full development. And we also plan to test the middle Wolfcamp in the same area later this year. I'll now move to the 2 Permian plays that comprise the joint venture with Sumitomo that we announced this morning. First, in the Cline Shale on the eastern flank of the Midland Basin, we have continued to add acreage and have now assembled some 556,000 net acres in the partnership. We began to assess the potential of this acreage during the second quarter with our first horizontal well in the play. The Stroman Ranch C58 located in Sterling County had a 30-day IP rate of 300 barrels of oil equivalent per day. On most of the frac stages, we utilize gel fracs. However, we did test a couple of stages with slick water, with very good results. Consequently, in our second horizontal well that is currently being completed, we are utilizing slick water for all of the completion stages and expect a higher IP rate. And while it's in the very early stages of the evaluation of our position, we are very encouraged that the Cline Shale with be a highly economic oil play. We will continue to refine our drilling and completion techniques on the remaining wells planned for the second half of this year and keep you updated as we move forward. In the other play in the Sumitomo JV, the Wolfcamp Shale in the southern Midland Basin where we have 94,000 net acres, we brought 3 Wolfcamp horizontal wells online in the second quarter. These included the Coronado 2H with an average 30-day IP rate of 575 barrels of oil equivalent per day. Subsequent to the end of the second quarter, we tied in our first 7,000-foot lateral completed with a slick water frac. After 22 days of production, the University 52-10H well has averaged 650 barrels of oil equivalent per day, including 575 barrels of oil. We're, obviously, very encouraged by these results. We currently have 2 rigs running in the Wolfcamp Shale and 2 in the Cline. The joint venture with Sumitomo will allow us to accelerate the evaluation and de-risking of these plays. We expect to drill 28 wells in these 2 plays in the remainder of 2012, bringing the total number of wells drilled, or participated in, to 40. Shifting now to our thermal oil projects in eastern Alberta, aggregate production from our 2 producing Jackfish projects averaged a record 51,100 barrels of oil per day, net of royalties, in the second quarter. Jackfish 1 continued its trend of best-in-class plant reliability and efficiency, achieving a plant utilization rate over the past 12 months of more than 98%. We will bring the Jackfish 1 plant down for scheduled maintenance beginning in early September. This is something we do roughly every 2 years. We expect the maintenance turnaround to take about 3 weeks. When we restart the plant, it takes about 3 to 4 weeks to ramp production back up to capacity. Accordingly, our net Jackfish 1 production is expected to average about 23,000 barrels per day in the second half of 2012. At Jackfish 2, production is on pace to reach more than 25,000 barrels per day, before royalties [ph], by year end and to reach facilities capacity in 2013. Jackfish 3 construction continues to progress well with roughly 40% of the project complete, putting us on track for a start-up around year-end 2014. At Pike, we filed an application for regulatory approval in late June for the Pike 1 development. The Pike 1 application is for a project with a gross production capacity of 105,000 barrels of oil equivalent per day. We continue to work with our partner on the details of the development plan and expect to finalize those later this year. We operate Pike with a 50% working interest. As a reminder, we expect our existing SAGD assets to drive Devon's net thermal oil production to more than 150,000 barrels per day by the end of the decade. On the exploration front in Canada, we continue to evaluate the oil and liquids-rich gas potential across our more than 4 million net acres. Our most encouraging results over the last 18 months of exploratory drilling have been in the Ferrier corridor where Devon has roughly 240,000 net acres prospecting for the Cardium oil, the liquids-rich Glauconite and other lower Cretaceous zones. To date, we have drilled a total of 19 operated horizontal wells in these formations. Average 30-day IP rates have ranged between 300 and 400 barrels of oil equivalent per day. With drill and complete costs in the $4 million to $6 million range, these wells have strong economics. And we're currently evaluating a potential development plan for these areas. Shifting to the Barnett Shale field in north Texas. Based upon the early success we are seeing in the Mississippian oil play in Oklahoma, we recently moved 2 of our Barnett rigs and 3 of our Cana rigs to the Mississippian. This leaves us with 10 operated Barnett rigs running in a liquids-rich core and the oil window in Wise County and 12 rigs running in core-rich Cana. As Vince mentioned earlier, our reported volumes were impacted by an extended maintenance turnaround of our Bridgeport natural gas processing plant in the Barnett. In spite of this curtailment, our second quarter net production from the Barnett averaged 1.32 Bcf equivalent per day, up 3% from our second quarter a year ago. Moving now to the Cana Woodford Shale in western Oklahoma. In spite of some minor disruptions of third-party processing facilities and a temporary increase in uncompleted wells due to pad drilling, we still achieved an all-time production record at Cana. Second quarter 2012 production increased 48% over the year-ago quarter and 3% over the first quarter of 2012. Cana's second quarter production growth was led by oil and NGL growth of 59% over the year-ago quarter to 3,500 barrels of oil and 10,400 barrels of natural gas liquids per day. Moving west to the Texas Panhandle. In the Granite Wash play, we continue to see solid results. We brought 6 operated Granite Wash wells online during the second quarter, with 30-day IP rates averaging 1,270 barrels of oil equivalent per day. We plan to move a fourth rig to the Granite Wash later this year. In addition to some of the very encouraging results in the Cline and Wolfcamp shale plays, we have some updates on some of our other new venture areas. Looking first at the Ohio Utica, our first 2 wells, 2 horizontal wells, the Eichelberger 1H in Ashland County and the Richman Farms 1H in Medina County, were not encouraging. These wells are located on the northwestern-most acreage. We are currently completing our third well to the south, the Sensibaugh 1H located in southern Knox County. This well offsets our initial Harstine Trust core well. We will continue drilling in a liquids-rich window to the east where industry has about 20 horizontal rigs running. In the Tuscaloosa Marine Shale, we drilled our first 3 wells in the northern portion of our acreage position. The Richman Farms 74H located in East Feliciana parish was brought online in the second quarter with an average 30-day IP rate of just shy of 300 barrels of oil per day. In our next well, we've landed the lateral in a more optimal position and we saw significant improvement in rate. After 20 days of production, the Weyerhaeuser 14H, in St. Helena Parish, has averaged 670 barrels of oil per day from a 5,700-foot lateral. Our third well in the area, the Murphy 63H in West Feliciana Parish, a 4,700-foot lateral, is slated to begin the completion operations early next week. We plan to drill our future Tuscaloosa wells with 8,000-foot laterals. We expect this trend of improving performance to continue as we make additional improvements to our drilling and completions. Reducing costs and improving well performance over time are keys to making this play economic going forward. In Michigan, results from our first 2, A-1 Carbonate horizontal wells have not been encouraging. Each of these wells appear to be tight. These wells were drilled in close proximity to each other in a central portion of the basin. So our plan, going forward, is to test the A1 in Utica potential on the outer flanks of the basin in the remainder of the year with a 2-rig program. In the Rockies oil exploration, as we'd previously indicated, we're testing a number of objectives in the Powder River and DJ Basin. Since we last updated you at our Analyst Day, we've drilled 1 well in the Maori, 3 in Niobrara and one in the Codell. All these wells are in various stages of completion. We are currently drilling a follow-up to the successful Turner well we drilled earlier this year. As a reminder, this well had a 30-day IP of 433 barrels of oil equivalent per day. Finally, in the Mississippian oil play located in North-Central Oklahoma, we have now expanded Devon's position to 545,000 net acres, including about 150,000 net acres within the Sinopec JV. The recently added acreage is predominantly north of our initial position in Noble, Osage, Grant and Sumner counties. This is a play that's attracted a great deal of industry attention due to attractive returns, the high quality of oil it produces and the established, relatively industry-friendly regulatory environment in Oklahoma. We currently operate, or have an interest in, 52 Mississippian wells that are drilling, completing or producing. And we're expanding our operations quickly. We have 7 operated rigs running in the play and expect to add additional rigs later this year. Our results continue to support a tight curve, with a 30-day IP of roughly 300 barrels of oil equivalent per day and an EUR of 300,000 to 400,000 Boe at a cost of $3 million to $3.5 million each, per well. Our 545,000 net acres represents a large position that will add many years of drilling inventory for us. And this is a position that can truly move the needle for a company of Devon's size with net rift [ph] potential of more than 800 million barrels of oil equivalent. So in summary, our 2012 capital program continues to drive strong growth in oil and natural gas liquids production, while simultaneously evaluating a wide range of exploration prospects. With that, I'll turn the call over to Jeff Agosta for the financial review and outlook. Jeff?
Jeffrey A. Agosta: Thanks, Dave, and good morning, everyone. This morning, I will take you through a brief review of the key drivers that shaped our second quarter results and, where called for, provide updated guidance for the second half of the year. Beginning with production, our second quarter reported production totaled 61.8 million oil equivalent barrels or 679,000 Boe per day, a 3% increase compared to the same period a year ago. This result is about 6,000 barrels per day or 1% shy of the lower end of the guidance range we provided last quarter. As Vince mentioned earlier, interruptions of midstream facilities reduced our second quarter volumes by approximately 16,000 Boe per day. Had these outages not occurred, production would have been at the top end of our guidance range. Fortunately, the disruptions impacted only gas and NGL volumes, so our oil production was on target. For the quarter, our oil production increased by 26% over the second quarter of 2011 to an average of 149,000 barrels per day. Strong year-over-year growth in the Permian and Jackfish drove the performance. For the third quarter, we expect production to increase to a range of 680,000 to 690,000 barrels per day in spite of the plant turnaround at our Jackfish facility. The turnaround at Jackfish will reduce oil volumes by approximately 10,000 barrels per day in both the third and fourth quarters. Even with these curtailments, we still expect that our oil production will increase more than 20% in 2012. Moving to price realizations and beginning with Canadian oil, supply and demand for Canadian crudes remains very tight. Consequently, any disruptions in refinery capacity, or pipeline takeaway, can have a dramatic effect on pricing. This has resulted in increased price volatility and has made it difficult to predict price realizations. In the second quarter, Canadian oil realizations came in at 59% of the WTI benchmark, or just below the lower end of our forecasted range. The wider second quarter differentials were attributable to extended maintenance downtime at Midwest refineries and various outages of third-party pipelines. In the second half of the year, we expect turnarounds at 3 major Midwest refineries to continue to place pressure on our crude realizations. With this in mind, we now expect our Canadian oil realizations to range between 50% to 60% of WTI for both the third and fourth quarters. An incremental 80,000 barrels a day of refining capacity is expected by year end with an additional 240,000 barrels a day by the middle of next year. These additions should significantly improve the supply demand situation. Given the challenges that John discussed for the NGL market, we now expect that our third quarter NGL realizations will range between 28% and 34% of WTI. On the natural gas side, our second quarter company-wide price realizations came in below the low end of our guidance range at approximately 80% of Henry Hub. Regional differentials widened in most of our producing regions in Canada and the United States during the quarter. Prices were especially weak in the Mid-Continent region. For the second half of this year, we expect that our gas price realizations will average 75% to 80% of Henry Hub in the U.S. and 80% to 85% of Henry Hub in Canada. Turning briefly to our marketing and midstream operations. In the second quarter, weak gas and NGL prices, coupled with a planned shutdown of our Gulf Coast Fractionators facility in Mont Belvieu to expand its capacity, reduced our midstream operating profit to $68 million. Now that the expansion of the facility is complete, we expect our midstream operating profit to rebound to a range of $90 million to $110 million in the third quarter. Moving to expenses. In the second quarter, lease operating expenses came in at $8.30 per Boe. This represents a 2% increase compared to last quarter. Had we not experienced any production interruptions during the quarter, our per unit expenses would have been flat compared to the first quarter. This is noteworthy given our growth in oil production which, as you know, is generally more expensive to produce than natural gas. Looking ahead to the third quarter, due to the scheduled maintenance at Jackfish, we expect LOE to approximate $8.50 per Boe. For the full year, LOE should still fall within our previous guidance range. Our second quarter G&A expenses were $176 million, a 5% increase over the previous quarter. The quarter-over-quarter increase is almost entirely attributable to the implementation of our new company-wide software platform. For the most part, these implementation costs are nonrecurring. Therefore, we are forecasting third quarter G&A expenses to decline to a range of $160 million to $170 million. Our full year forecast for G&A expenses also remains unchanged. Shifting to interest expense. In early May, we took advantage of attractive market conditions to issue $2.5 billion of senior notes. We issued a combination of 5-, 10- and 30-year notes with respective coupon rates of 1 7/8%, 3 1/4% and 4 3/4%. We utilized these proceeds to reduce our short-term borrowings. Interest expense totaled $99 million for the second quarter, a $14 million increase over the prior-year quarter. This increase is almost entirely attributable to the impact of the bond offering. For the remainder of the year, we expect our interest expense to range from $110 million to $150 million per quarter. DD&A expense for the second quarter totaled $684 million or $11.07 per Boe. For the second half of this year, we expect our depletion rate to range between $11.20 and $11.60 per Boe. However, if natural gas prices remain depressed, we would also expect to incur a full-cost ceiling write-down in the third quarter related to our U.S. oil and gas properties. Just as a reminder, this is a simple accounting exercise that generates a noncash charge and lowers the company's go-forward DD&A rate. In summary, our pretax cash costs totaled $14.39 per Boe in the second quarter. Had we not incurred the production disruptions, this figure would have been around $14 per barrel produced or about 1% over the previous quarter. In any case, we continue to be positioned as a low-cost producer among our peer group. The final expense item I will touch on is income taxes. After backing out the items that are typically excluded from analyst estimates, our adjusted second quarter 2012 income tax rate was 35% of pretax earnings. This is similar to the tax rates we would expect for the remaining 2 quarters of the year. In today's earnings release, we provided a table that reconciles the effects of items that are typically excluded from analyst estimates. Before we open the call to Q&A, I will conclude my remarks with a quick review of our financial position. During the second quarter, our cash flow from operations totaled $1.4 billion, combined with the $900 million of proceeds from our Sinopec joint venture, our total cash inflows reached $2.3 billion. This cash allows us to comfortably fund our robust capital program, while maintaining excellent financial strength. As mentioned earlier, we exited the quarter with a net debt-to-adjusted cap ratio of only 14% and cash and short-term investments of $7 billion. Clearly, from a balance sheet and liquidity perspective, we remain exceptionally strong. At this point, I'll turn the call back to John.
John Richels: Thank you, Jeff. In summary, while second quarter earnings were impacted by low price realization and downtime at the midstream facilities, our operating results continue to reflect the successful execution of our plan. We delivered year-over-year oil production growth of 26%. Our exploration program delivered encouraging results in the Mississippian trend and the Cline Shale, and we also opportunistically added to our acreage position in both of these promising opportunities. We comfortably funded a robust capital program, while maintaining an exceptionally strong balance sheet. Subsequent to quarter end, we announced a $1.4 billion joint venture agreement with Sumitomo to explore and develop the Cline play. And finally, we remain fully committed to exercising capital discipline, maximizing our margins, maintaining our balance sheet strength and optimizing our growth and cash flow per share on a debt adjusted basis. So with that, I'll turn the call back over to Vince for Q&A. Vince?
Vincent W. White: Operator, we're ready for the first question.
Operator: Your first question comes the line of Scott Hanold with RBC Capital Markets.
Scott Hanold - RBC Capital Markets, LLC, Research Division: A question on the Cline Shale. What is the infrastructure need there right now? And is part of this development, or I'm sorry, the joint venture cover development ops in the infrastructure out there?
Darryl G. Smette: Yes, this is Darryl and I'll answer that. The whole Cline Shale is a big area obviously. There is a lot of the area out there that really has no infrastructure at all in terms of pipelines, gas processing plants, things of that nature. So infrastructure definitely, in a lot of these areas, will have to be built. There are a few little areas in Sterling County where there is some infrastructure and some of the wells that Dave talked about that have been drilled there are close to that infrastructure. But in general, when we go forward, and I think we're going to have success here, infrastructure will be an area that we have to focus on, either Devon, in terms of its midstream operations, or a third party or a combination thereof. The agreement with Sumitomo allows them to participate in midstream activities, if we choose to go forward with that, or if they choose to go forward with that, so that would be an option for them. But right now, that decision, whether they would participate in any midstream facilities has not been made by them.
David A. Hager: Scott, end of the day, I might just add, this is an area though where thousands of wells have been drilled historically by the industry. So there is, as far as, ongoing ability to drill and complete wells, there is an infrastructure that works for that. What Darryl was addressing earlier is, obviously, accurate from the midstream facility side.
Scott Hanold - RBC Capital Markets, LLC, Research Division: Understood. So are the 40 wells that you're drilling, targeting sort of areas where some more of the development infrastructure is at this point, or are you going to spread them across the plays just to delineate better?
Darryl G. Smette: Well, right now, it looks like it's going to be some of both, so we can test the play from a wider context. But some areas are going to have a little bit of infrastructure and some of the wells that we will drill probably will not have the infrastructure right now.
John Richels: From a midstream perspective. Yes, that's what he's answering. But we are testing a good portion of our acreage to just get an idea of the prospectivity of various parts of our acreage.
Scott Hanold - RBC Capital Markets, LLC, Research Division: Okay. And as a follow-up on the Mississippian play, you're moving some rigs in there. How are you allocating those rigs versus your new acreage versus the stuff you're doing with Sinopec? How does that work?
John Richels: Well, we have drilled a number of wells on the Sinopec acreage. We're now moving the rigs, for the current time, up to the new acreage and that's where our rigs are located presently and we'll probably continue to evaluate both of those areas throughout the rest of the year.
Scott Hanold - RBC Capital Markets, LLC, Research Division: Okay. So you've got 7 rigs in the play right now. How many are in the JV versus your own owned acreage? And what would you expect that to be at year end?
John Richels: Right now, we have all 7 rigs working in our own acreage and none in the JV acreage. We do anticipate we will be moving back into the JV acreage later this year, though. And I can't give you an exact count. We're continuing to still ramp up our activities and we -- but we're going to have significantly more rigs working by the end of the year than we have working now. But Scott, I think it would be a little speculative to go exactly how many rigs and exactly where they'd be located. But I think that you'll see, for the rest of the year, that we will have some rigs working in both those areas, with an increased rig count.
Scott Hanold - RBC Capital Markets, LLC, Research Division: Okay, when you say -- I mean just as sort of a ballpark, when you say significant there, are you saying maybe like doubling the rig count from where you're at right now? Is that sort of -- kind of a ballpark rate?
John Richels: That's certainly very possible, Scott.
Operator: Your next question comes from the line of Steven Sheppard [ph] with Simmons & Company.
Unknown Analyst: I'm just wondering, to what extent has ethane rejection led to the Mid-Con basis maybe coming in weaker relative to other parts of the country and subsequently driving the weakness at corporate level you all had in gas realizations in 2Q?
David A. Hager: I'm not sure I understood the question. Could you repeat it, please?
Unknown Analyst: So with ethane rejection, I mean, is -- the fact that ethane's not going into the liquid stream, moving back into the dry gas stream, is that at all exacerbating the problem that you're seeing in the Mid-Con? Or is it strictly just higher gas production that's driving that? I'm just asking what …
David A. Hager: Okay, thank you. That probably has a little bit of an impact, but not a lot of impact, I don't think. Our view is that there's probably somewhere around 200 million to maybe 300 million of additional volume, primarily in the Mid-Continent, as a result of ethane being rejected. And as you very well know, ethane prices in Conway have been down to $0.02, $0.03 a gallon. So there has been some rejection there. But the overall impact, while there is some, I think, that's very, very minor based on what we can tell.
Unknown Analyst: Okay, that's great. On the Mitz Line [ph], the new acreage, can you disclose the price that you paid per acre there?
John Richels: In areas where we're still looking at prospective acreage acquisitions, we generally decline to get real specific.
Unknown Analyst: Okay, that's fine. And I've just got a couple more. Exploration CapEx, up pretty substantially quarter-over-quarter. Can you give us a little bit more visibility on the progression of that through the end of the year?
Jeffrey A. Agosta: 21 This is Jeff. That was -- we closed a lot of our acreage acquisitions in the second quarter. So that would be flowing through the exploration capital. And we indicated on our last quarterly call that we did expect Q2, the second quarter, to be very lumpy with regard to acreage acquisitions. And as David indicated, our capital program is more front-end loaded this year.
Darryl G. Smette: Particularly with regard to acreage, that's when we picked up the Cline Shale acreage, a lot of the Mississippian acreage and so that's what you saw the impact of.
John Richels: I know you know this, but I will just remind you, as Dave pointed out, that from a reporting point of view, we acquired this additional acreage. We brought in more than 100% of a lot of this acreage and that doesn't get netted out from a reporting perspective. So that skews the capital numbers a little bit because you don't see what the money that we're taking in on the other side.
Unknown Analyst: Okay. And just one more, in the Midland-Wolfcamp and Cline areas where you executed the new JV, beyond 2012, what do you think the rig ramp might look like there? How many gross wells do you think you can drill in each of those regions going forward?
Darryl G. Smette: Well, we, obviously, need to see results first. And so it's somewhat speculative to -- at this point, to go too far out. But you can see, when you put together an acreage position of 650,000 acres like we have on this, we have anticipated a fairly aggressive ramp-up, if the results continue to perform as we expect and as we've seen. So I would see that -- I'm not going to give you an exact number here but -- because the economics are potentially very strong, you can anticipate a pretty strong ramp-up of rigs as we move into 2013. And of course, we'll be discussing that with our new partners, and they're -- Sumitomo, and they're anticipating this as well.
Unknown Analyst: Okay, great. And what's a good well cost to use in those regions? What have you seen there in terms of gross well cost?
John Richels: Yes, gross well costs that we're using in the Wolfcamp Shale, we see on the order of around $6 million or so -- $6.5 million or so, in the Midland Basin so far. And very similar well cost that we've seen out in the Cline as well.
Operator: Your next question comes from the line of Brian Lively with Tudor, Pickering.
Brian Lively - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: On the JV acreage, could you guys clarify how much production are you conveying with the deal?
John Richels: It's minimal. Current production is less than 500 barrels a day that we'd be conveying.
Brian Lively - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay. And then just more strategically, if we're trying to look at 2013 from a high level given the commentary around NGL expectations from a pricing perspective and some of the results from some of the newer exploration areas, should we, one, assume that spending will be within cash flows net of deal proceeds? And with that, would we expect just more -- incrementally more capital allocation to the MF Line [ph] into the Permian and away from plays like the Barnett and Cana, and perhaps the Utica, Michigan area?
John Richels: Brian, let me take a shot at that. Obviously, we're early going into our 2013 planning so we haven't kind of crystallized all of that. We are in the position that we can take some of those proceeds that we got from our offshore and reinvest them into onshore project. All things being equal, though, as Dave has already said, we're reducing our rig count in places like the Barnett and Cana, and moving them more into these light oil places because of the economics. But I do want to make the point that, in the liquids-rich portions of the Cana and the Barnett, we still get some pretty darn good returns. When you're looking forward from this point, doesn't really matter what gas prices are for '12 anymore. We're really looking at 2013 prices for all of our capital activities. And if you take a $3.75 Henry Hub price next year, which I think is pretty close to what Wall Street is using and very close to the Strip as well so we're all in the same ballpark. Once you take into consideration our midstream uplift, and even at a 31% NGL realization, we're seeing a low-20s rate of return in the Barnett and an almost 30% rate of return in the Cana. So there are portions of those 2 plays that still make a lot of sense to the point that we can -- if we're going to focus in those best areas, we're going to move some of those rigs on to some of these new oil plays where we really have a whole lot of expectation and potential for the future. And the other question, living within cash flow, again, over the last couple of years, we have taken some of those proceeds from the offshore and have reinvested them in rebuilding or changing -- adding significantly to our light oil potential in the company. We've done a lot of that and my guess is we're -- while we have the capacity to do it, with some uncertainty on the commodities pricing side, we'll just have to be careful as we go into next year to make that final determination of how much we're going to spend. I think that it's kind of early, but my guess is, we'll be trending towards our cash flow.
Brian Lively - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay. So I guess you're still saying that you might use some of the, I guess, the $7 billion that you still have to fund some opportunities, even if it were to exceed your cash flow levels, or no?
John Richels: Well, I think not to the extent we have, but we still have that capacity if we want to. I mean, we've added a lot and, as I was saying earlier, when you got a million net acres and a couple of highly perspective oil plays, we've got a lot of running room on those plays already, so we're pretty happy with what we've put together to this point in time.
Vincent W. White: This is Vince. I'd add that the 2 JVs that we've entered into will allow us to get a lot more activity out of any given capital spend. So we could achieve similar results of developing our core development plays, while evaluating acreage and exploration plays with a reduced amount of capital.
Operator: Your next question comes from the line of Brian Singer with Goldman Sachs.
Brian Singer - Goldman Sachs Group Inc., Research Division: Going back to the Cline, can you estimate the impact of both cost and IPs that you think slick water would have relative to the Stroman Ranch well you highlighted? And then can you also talk about when you would plan to move drilling more meaningfully to the northeast within your acreage?
Darryl G. Smette: Well, about -- they're improvement costs but not a significant reduction in costs, relative in the overall well cost going to slick water. We can't say for certain how much improvement there will be going to slick water, but we have certainly seen in the Wolfcamp Shale that the -- going to slick water is a cleaner frac and we've seen much better results in the Wolfcamp Shale and operators have gone to slick water, primarily in the Wolfcamp Shale. We think the Cline is very similar and we know that some other operators also have recently moved to slick waters there also and it appears they're getting better results. So we need to actually complete the well to know for sure. But we're very optimistic that, based on all the other results we've seen in that area, we're going to see a pretty significant improvement. And again, we've just drilled one well on 650,000 acres, so far. So it's so early on. We're just very confident that we're going to be in a range based on the other wells that we've seen drilled in the area. And we are going to be moving some of the rigs off to the northeast to test some of that acreage as well later this year. So as I said, we're going to be moving the rigs around the acreage to get a good handle on what the overall prospectivity of various parts of the acreage position are.
Brian Singer - Goldman Sachs Group Inc., Research Division: And then, going over to the Utica, how committed are you to acreage retention in 2/3 of your Utica acreage in the oil window? And do you see any differences in characteristics in the Knox County well versus the first 2 wells?
David A. Hager: Well, we're committed to economics. And we were committed to really drilling wells that are going to meet our economic thresholds. And the first 2 were disappointing, but it was on the far northwestern part of our acreage. We do see some -- because we are essentially very near the original well where we took a core in, that appeared to have good thermal maturity and good permeability, we are somewhat more optimistic in this well than we were the previous 2 wells. But even more so, as we move to the east with our additional drilling activity that we're going to be doing throughout the rest of the year, probably drill about 5 more wells for the rest of the year. We're going to be moving more where the rest of the industry activity is. And so that part of the acreage is probably even more prospective.
John Richels: And then, Brian, and the other thing is a couple of these plays, like that one and that portion of the play, we always said this was highly exploration in nature because there wasn't a lot of experience by the industry. And it's one of the reasons why we got in there and acquired our acreage for a few hundred dollars an acre rather than thousands an acre. So this is something that -- as Dave has correctly pointed out, we're going to be driven by economics on this thing, not by desire to hold acreage if it's not making sense in any portion of any play.
Operator: Your next question comes from the line of Bob Brackett with S&B.
Bob Brackett - Sanford C. Bernstein & Co., LLC., Research Division: I just have a follow-up on the question on Ashland and Medina. Have those 2 wells condemned the area? Or are you going to go back and try some different things further down the road?
John Richels: Well, those 2 wells were not encouraging in that immediate area. And it's exploration, you always have to drill more wells and as each one you drill, you may learn some more things that could or could not make the acreage there work. But the first 2 wells were not encouraging, so we just -- we need to get more well results in and perhaps with additional well results will give us a reason to go back there. But we're not focused in that area right now.
Bob Brackett - Sanford C. Bernstein & Co., LLC., Research Division: But do you think it was the frac or the geology that failed on you?
John Richels: We think it's geology.
Bob Brackett - Sanford C. Bernstein & Co., LLC., Research Division: Okay, so it's the geology. Another question I had, can you update us on the offshore cash? I mean, you've talked about it before. And also, would you have any appetite to look at international shales, outside of North America, given you've got a war chest outside of the U.S.?
John Richels: Just an update, Bob, on the offshore cash. We have all but a few hundred million dollars of the $7 billion, is sitting offshore at this point in time. And so that hasn't really changed a whole lot since we talked to you before. As far as looking internationally, we're never close-minded about it but we have just repositioned the company to take advantage of our expertise and our portfolio in North America, and we've got an awful lot of really exciting opportunities ahead of us. And with the things that we've added recently, I think we really want to get more into that and really understand the potential and develop this big asset-base that we've got here before we start thinking of those other things. But you know us, we're never close-minded about anything. But right now, I have to tell you we're not looking internationally because we really have a whole lot on our plate here that we think is going to provide us a lot of drilling opportunities for a long time.
Operator: Your last question comes from the line of David Tameron with Wells Fargo.
David R. Tameron - Wells Fargo Securities, LLC, Research Division: Can you talk a little bit about Canadian asset sales? And I think you guys had mentioned at the Analyst Day, you could potentially shed some assets up there. Can you talk about where you're at in that process?
John Richels: David, as Dave said earlier, we're doing -- we've done a fair bit of exploration work here over the last little while. I think we're still evaluating our position in Canada. We've got some -- we've had some optimistic results, I think, on some of the acreage and we're just not ready to make a call like that at this point in time.
David R. Tameron - Wells Fargo Securities, LLC, Research Division: Okay. And then let me take my follow-up to a different direction. Can you talk about -- there's rumors that you guys were drilling up near Abilene, and you got a trace, and not necessarily a Cline or Wolfcamp, but a Mississippian-type formation, can you give us any -- or Mississippian H formation, can you give us some color on that?
John Richels: No. We can't give you any color on that at this point.
Vincent W. White: All right. Well, I show the top of the hour. So thank you for participating in our call today, and we look forward to talking to you next quarter.
Operator: This concludes today's conference call. You may now disconnect.